Operator: Welcome everyone to the Portman Ridge Third Quarter 2022 Financial Results Conference Call. [Operator Instructions] Thank you. It is now my pleasure to turn the call over to Ted Goldthorpe, CEO. Mr. Goldthorpe, please go ahead.
Ted Goldthorpe: Good morning. Thanks, everyone for joining our third quarter 2022 earnings call. I'm joined today by our Chief Financial Officer, Jason Roos; and our Chief Investment Officer, Patrick Schafer. I'll provide brief highlights on the company's performance and activities for the quarter. Patrick will provide commentary on our investment portfolio and our markets, and Jason will discuss our operating results and financial condition in greater detail. Yesterday Portman Ridge announced its third quarter 2022 results, and we were pleased to report a strong quarter of financial performance despite operating under difficult market conditions, a very challenging economic environment, rising interest rates and market volatility. Our total investment income, core investment income and net investment income for the third quarter of 2022, all increased in comparison to the second quarter of 2022 as we started to see the impact that rising rates had in generating incremental revenues from our investments. Between the reduced cost of capital from our amended and extended credit facility with JPMorgan Chase, and the continued benefit of rising rates, we expect this quarter strong performance will continue going forward in future quarters, allowing us to increase our quarterly dividend by 6% to $0.67 per share. Regarding the macro environment in our sector, we continue to see the impact of the liquid markets spilling over into the private markets. Leveraged loan new issue volume declined by over 80% year-over-year during the quarter and is down almost 60% year-to-date, due to a combination of lower M&A volumes and a decline in CLO formation, which is a key source of demand for the market. Additionally, loan prices on average peaked in August around 95% of par and then traded down to 92% of par by the end of September and remained at those depressed levels so far in the fourth quarter. The volatility displayed in the loan markets have benefited Portman Ridge in the following ways. First, the reduced demand for new issue has forced potential borrowers away from the loan market and into the private debt market, increasing our potential deal funnel and allowing for increased selectivity on new deals. Secondly, the trading price decline has resulted in an increase in private debt deal economics through approximately 100 to 200 basis points of higher spreads, and 100 to 300 basis points of incremental OID. Finally, the volatility has allowed Portman Ridge to be nimble and opportunistically purchase loans originally underwritten by a syndicate of banks at a significant discount, and loans trade in the secondary market at significant discounts. Although the latter opportunity has become much more pronounced so far in the fourth quarter. During the third quarter, we remain cautious in our investment strategy and saw net deployments, excluding ordinary course amortization payments of approximately $2.4 million. As a result, we ended the quarter with a well balanced portfolio and kept our non-accrual positions under control. Although the full impact of rates have not flown through our underlying borrowers through June 30, the average interest coverage in our portfolio was 3.5x and on average, LTM revenues grew by 4.5%. As we continue to execute our investment strategy, we're well positioned to take advantage of opportunities that arise from the current market environment by continuing to be selective and resourceful in our investment decisions. We will continue to be prudent with underwriting new investments given the current economic uncertainty. With that, I will turn the call over to Patrick Schafer, our Chief Investment Officer for a review of our investment activity.
Patrick Schafer: Thanks Ted. Turning now to Slide 5 of the presentation and a sensitivity of our earnings to interest rates. As of September 30, 2022, approximately 89.3% of our debt securities portfolio were either floating rate with a spread to an interest rate index, such as LIBOR, SOFR or Primary with 71% of these still being linked to LIBOR. As you can see from the chart, the underlying benchmark rate on our assets during the quarter lagged the prevailing market rates and still remains significantly below the LIBOR and SOFR rates as of November 4, 2022. We would expect this to normalize over time as the underlying one, three and six month contracts reset. But for illustrative purposes, if all our assets were to reset to either a three month LIBOR or SOFR rate, respectively, we would expect to generate an incremental $2.4 million of quarterly income. While our liability costs would also rise relative to their Q3 levels, we still expect a net positive benefit of approximately $0.08 per share, assuming all of our assets and liabilities are utilizing the same three month benchmark rates for the entirety of the quarter. Skipping down to Slide 11, investment activity and originations for the quarter were lower than prior quarter, but repayment activity was higher, resulting in net deployment of approximately $2.4 million, excluding regularly scheduled amortization payments and funding under previously committed facilities, including our Great Lakes joint venture. Net deployment consisted of new fundings of approximately $44.3 million, offset by approximately $41.9 million of repayments. These new investments are expected to yield a spread to SOFR of 664 basis points on the par balance, but a number of investments were purchased at a meaningful discount to par or included upfront fees, which will generate income in addition to the stated spread. Our debt securities portfolio at the end of the third quarter remained highly diversified with investments spread across 32 different industries, and 117 different entities, all while maintaining an average par balance per entity of approximately $3.4 million. Turning to Slide 12, investments on nonaccrual were flat as compared to June 30, 2022, and represent 0.0% and 0.3% of the company's investments at -- investment portfolio at fair value and amortized cost respectively. I'll now turn the call over to Jason to further discuss our financial results for the period.
Jason Roos: Thanks Patrick. As both Ted and Patrick previously mentioned, despite operating under a challenging economic environment, our results for the third quarter reflect that period of strong financial performance. Total investment income for the third quarter of 2022 was $19 million, of which $15.4 million was attributable to interest income from the debt securities portfolio. This compares to total investment income for the second quarter 2020 of $15 million and overall increase of $3.6 million quarter-over-quarter due to the impact of rising rates, generating incremental revenue on our investment portfolio. Excluding the impact of purchase price accounting, our core investment income was $17.6 million. This compares to $13.7 million core investment income in the second quarter of 2022. Core investment income reflects a reduction in purchase price accretion from the Garrison and HCAP mergers, which amounted to $1.4 million for the third quarter 2022. Our net investment income for the third quarter of 2022 was $8.4 million or $0.87 per share, which compares to $5.5 million, or $0.57 per share for the second quarter of 2022. This quarter-over-quarter increase is inherently due to the rising rate environment associated with our floating rate investments, as well as the settlement of certain investments early in the third quarter, resulting in a fourth quarter benefit of interest income. Total expenses for the third quarter of 2022 were $10.6 million compared to $9.1 million in the second quarter of last year. This was predominantly driven by rising costs associated with the interest expense on our debt. Our net asset value for the third quarter of 2022 was $251.6 million or $26.18 per share as compared to $261.7 million or $27.26 per share in the second quarter of 2022. The decline due to our debt and equity securities was almost entirely driven by mark-to-market movements within our portfolio. On the liability side of the balance sheet as of September 30, 2022, we had a total of $368.9 million par value of borrowings outstanding comprised of $97.1 million in borrowings under our credit facility, and $108 million of 4 7/8% notes due 2026 and $163.7 million unsecured notes due 2029. This balance represents a quarter-over-quarter increase of $4 million relating to a draw on our credit facility. As of the end of the quarter, we had $17.9 million of available borrowing capacity under the senior secured revolving credit facility and $25 million of borrowing capacity under the 2018-2 revolving credit facility. Additionally, and as pointed out in our second quarter earnings call, we successfully refinanced the senior secured revolving credit facility in April, which changed the benchmark interest rate to three months SOFR, reduced the rate of interest margin to 2.8% per annum from 2.85% per annum and extended the maturity of the facility to April 29, 2026. As of September 30, 2022, our debt-to-equity ratio was 1.5x on a gross basis and 1.3x on a net basis. From a regulatory perspective, our asset coverage ratio at quarter end was 167%. We believe we remain well positioned to pursue growth opportunities with our overall leverage position. Lastly, and as announced yesterday, a quarterly distribution of $0.67 per share, which represents an increase of $0.04 from prior quarter levels, was approved by the board and declared payable on December 13, 2022 to stockholders of record at the close of business on November 24, 2022. This increased quarterly distribution is supported by the third quarter strong financial performance and our expectations for similar financial performance to continue into future quarters. With that, I will turn the call back over to Ted.
Ted Goldthorpe: Thank you, Jason. Ahead of questions, I'd like to again emphasize that this quarter we saw the benefits of the active steps we took early in the year to reposition our portfolio to see strong financial results, like the ones we've demonstrated this past quarter. As we are approaching year-end, we believe we're in an ideal position to have another strong quarter of strong financial performance in the fourth quarter. Thank you once again to all of our shareholders for your ongoing support. This concludes our prepared remarks. And I'll now turn the call over to operator for any questions.
Operator: [Operator Instructions] Christopher Nolan with Ladenburg Thalmann. Your line is open.
Christopher Nolan: Hi, guys. Jason, I missed it. Were there any non-recurring items in earnings?
Jason Roos: Yes, I would say, this is a pretty good quarter for just normal run rate, kind of look at expense -- I assume you're talking about the expense side of the P&L?
Christopher Nolan: Yes, anything.
Jason Roos: Yes, yes so I would say no to that. Largely, it's a pretty good run rate quarter for you. On the expense side, professional fees are down $120,000 quarter-over-quarter, which reflects more normalized legal expense, which is a pretty good run rate, I would use for going forward. Other expenses are down as well by about $214,000 quarter-over-quarter. That's largely due to some benefit we're seeing on reduced insurance premiums, CLO admin costs and some tax expense coming down. I would say that's probably a little light. I would look at that and probably right around that mark, right around $500,000.
Christopher Nolan: On revenue, oh please go ahead?
Jason Roos: Yes, I was going to say on the revenue side, it's a pretty good run rate there as well. I mean we anticipate to, see continued uptick in the interest income coming in, in the future as rates continue to rise. And as our positions continue to reset and we provided a walk of that within the materials, but the CLO income, JV income all that should be about a pretty good run rate.
Christopher Nolan: Then given that it was - it seemed to be a fairly clean quarter and seems to be that this whole interest rate environment is working towards the company's benefit in terms of the earnings run rate. Is the $0.67 new dividend seems to be potentially a little bit on the low side unless there are issues, tax issues or things like that. Is that a fair way to look at it?
Ted Goldthorpe: I think that's relatively fair. This is Ted. I think if there's going to be pressure on our dividend, it's going to be increases versus - The risk is a dividend increase. I think there's just so much uncertainty right now. We are not seeing any credit quality issues or credit quality deterioration in our portfolio today. But just given all the uncertainty with every passing quarter as short-term rates roll through our numbers, our forecast just keep going up. And a lot of it is driven by macro considerations versus micro considerations. So on Slide 5 in our earnings deck, I think states the best. I mean we're only getting 2.8% on LIBOR today and LIBOR sits at 4.5%. So we think we've got really good earnings tailwinds and to the extent they keep coming through, I think there's going to be a hard - There's going to be a lot of conversation with the board about potentially increasing dividend versus decreasing the dividend.
Christopher Nolan: That's it from me, thank you.
Jason Roos: On the other hand on dividend policy is, we, as a management team, probably have a pretty strong bias towards base dividend versus variable dividends. So, we have the advantage over others because of some of the M&A we've done, we actually do get some tax benefits out of that as around in regards to spillover income. But obviously, our preference over time is to have a higher base dividend versus being specials.
Christopher Nolan: Okay, thank you.
Operator: Paul Johnson with KBW. Your line is open.
Paul Johnson: Yes good morning, thanks for taking my question. First question, I was hoping you could help us understand just Slide 7, a little bit better. This is a good slide, by the way, helpful to happen there. But obviously, jump to $0.95, a pretty big jump. And I was kind of looking at our presentation from last quarter, the same slide you're kind of projecting around $0.74, which was a lot closer, I think, to your sort of adjusted result this quarter? So that $0.95 that you show on this slide - does that include some level of purchase accounting accretion in there? Is there any way to, I guess, estimate how much that is included in there? Maybe a better way of asking the question is if you have some sort of ROE that you expect to kind of generate is what you would consider a good run rate ROE. Is this is closer to like a 15% ROE, which feels a little high?
Patrick Schafer: Yes so Paul, this is Patrick Schafer. So a couple of questions, which is this analysis or this chart on 7 is intended to be kind of the most simplistic form of this exercise. So what it's really doing is taking everything that was done at Q3 and really just essentially changing the benchmarks on the underlying assets and liabilities that we at the end of the quarter and what that difference would be from assuming kind of a run rate for the quarter as opposed to what actually transpired. So, to that point, the $0.95 here would include the same amount of purchase price accretion that was in the Q3 numbers. So, we show that on slide had on the next slide, on 8, you can kind of see where we have the purchase discount accounting. So that number would be in our 95 is a similar amount of that that we had in Q3. Again, we're trying to make this as simplistic as possible and not making any kind of incremental assumptions about anything in our portfolio, anything in the P&L other than just changing the benchmark rates on LIBOR and SOFR. So that you can -- That would kind of be your easy walk to kind of what that $0.95 would look like on a core basis, you could just kind of take the same difference here between our reported and core on Slide 8 and kind of overlay that to the 95%.
Ted Goldthorpe: Yes and you did it - your note last night, just for this. The other thing - the other big assumption obviously is it assumes flat repayment activity. As we've shown in the previous slide, obviously, that can change from quarter-to-quarter. So I think this - all we're trying to do here is just show purely the impact on rates and not make a bunch of assumptions and footnotes for our shareholders. This is really meant to just show you just like the - if rates were higher, this is what our earnings would have been.
Paul Johnson: Got it, yes, I appreciate the explanation there. I think this is a helpful slide out of the way. So thanks for the explanation on that and then another question on your dividend policy. Just going forward, we had an incremental raise this quarter. I mean, is that kind of what you expect? Obviously, this is a fairly good margin, $0.95 or $0.80 or so adjusted sort of run rate well above the new distribution level? So is it the intention, I guess, to just kind of walk that higher as you get your arms around the earnings generation of the portfolio in the next year or do you kind of intent, I guess, maintain a pretty good margin of cushion there and maybe be more conservative on the dividend hikes?
Ted Goldthorpe: I mean, the answer - I think the answer is both. I mean, we want to be conservative and make sure we can cover our dividend for a sustained period of time. This is our third dividend increase, which I think most BDCs have not done that. Again rates are changing so quickly. I just think we want to take a very measured approach to this, just given the fact that with each passing quarter, you're going to have this benefit of short-term rates flowing through our portfolio. Again, if you look at the forward curve on rates, which again, we're not macro-economists, they're showing short-term rates coming down middle to end of next year, which people can take their own view on that. So I think we just want to take a very measured approach. But again, I think that the momentum is positive versus stable around dividend policy. Then number two is - but we do want to maintain a relatively healthy cushion just given the uncertain environment.
Paul Johnson: Got it. Appreciate that.
Ted Goldthorpe: So I think the thing I want to stress is like we're not expecting a whole bunch of nonaccruals. Our portfolio is incredibly diversified. So it's not like we're taking a view on credit. We're not seeing it. But again, just given what's happening in the world, I think we want to just continue to be conservative.
Paul Johnson: Yes, that makes sense. That makes sense - the CLO income for the quarter, it sounds like from one of the previous questions is that should be a fairly good number going forward, sorry, the GDV income going forward for a run rate, you can correct me if I'm wrong there. But I'm just curious what is going on there in the quarter just because it looks like you may have had a reduction in your investment in JVs. I don't know if that was a return of capital? I just want to make sure that I heard that correctly, that $2.2 million or so of JV income this quarter, should we kind of expect to run through going forward or we should be looking at that potentially a little bit lower?
Patrick Schafer: Hey Paul, it's Patrick. So during the quarter, and it's specifically or particularly related to our Great Lakes joint venture, we sort of - we - I try to the right way to frame this, but we essentially - the investment period of the joint venture was expiring or was in the process of expiring. So we essentially built a new joint venture and moved everything from a one joint venture to a 2 joint venture. So just kind of moved over, but we also upsized that joint venture. So you saw a temporary return of capital as Portman specifically essentially got kind of reallocated, if you will. Then that we've had incremental fundings on that during the quarter. So by the end of this quarter, you'd expect to see that back to kind of the, I'll call it, the June level, if you will. Is there may be a very small temporary bit of income decline? Possibly but with rates rising and all those underlying assets are floating rate as well. My guess is you're not going to be really that far off from a meaningful impact?
Paul Johnson: Got it.
Patrick Schafer: It was really a temporary return of capital that, again, by the time we get to the end of the quarter, we'll be back to kind of the same notional value in that joint venture.
Paul Johnson: Got it. And last question, just in terms of the deal flow that you guys are seeing, it sounds like terms may potentially be improving in the market. But just wanted to get your sense, I guess, from the BC Partners platform, if that is the case, it sounded like less, I believe, last quarter, potentially the quality of the deals you were seeing were maybe not quite as attractive, but learning if that's changed at all in today's environment?
Ted Goldthorpe: Yes. I mean it's definitely changed in the sense of -- I think the biggest question we got six months ago was in a period of rising rates, is, there risks to spread tightening. I think some people felt like some of the large players in our space were going to cut spread, and it's been the complete opposite. The syndicated markets have effectively been closed for at least six months. So our industry has stepped in to provide that capital. I would say like people are being very selective and spreads are wider. Like we're getting -- We're getting plus 700 on very high-quality unit tranches right now, and that was -- that would have priced at S plus 525 six months ago. So we're getting almost 200 basis points of spread, and we're also getting 350 basis points of incremental SOFR. So, the returns we're generating are close to double what they were even six months ago and quite frankly, on better and larger companies. So this is an incredible environment to deploy capital. The other thing I'd say, as Patrick said in the statements, we obviously have the ability to buy secondary debt as well, which we do very selectively and quite frankly, rarely. For the first time and really since the middle of 2020, there are also secondary opportunities to buy things that are floating rate first lien pieces of bank debt at what appears to be really, really low LTVs. In industries where even if you go into a massive recession, we don't feel there's really a lot of credit risk. So we're seeing a lot of opportunities both on the primary side and the secondary side. That's all, I'm sorry for the long answer. That's all I've said. Obviously, repayments are down. We are seeing a little bit of uptick in repayment activity. We saw it this quarter, obviously, but we're seeing it again in this fourth quarter for some reason, which is good. But repayment activity is still relatively muted versus what it was last year.
Paul Johnson: Yes, that's great. That's great. All great information and those are all my questions. Thanks.
Ted Goldthorpe: Thank you.
Operator: [Operator Instructions] There are no further questions at this time. We do have a question from Steven Martin with Slater Capital.
Steven Martin: Great quarter, and thanks for the incremental dividend.
Ted Goldthorpe: Hi Steve.
Steven Martin: Good, good. I always love Slide 14, which is sort of all the portfolios you've bought. You've done a great job of underwriting those such that even with the mark-to-market now, it doesn't appear like there have been any losses. Can you talk about where you stand on the evolution of those portfolios and continued runoff?
Patrick Schafer: Yes hey Steve, it's Patrick. So look, I think from - I'll just take them from left to right. Again, OHAI portfolio, there's only 15% of it left. There's, a couple of good names in there. We kind of would expect those in ordinary course to get taken out, but we're kind of not -- don't really feel need to press anything there. We're very comfortable with all the credits. Garrison, again, still kind of like 30-ish percent left. Generally speaking, that is still kind of more on the liquid side, which we generally like to have some mix of that in our portfolio to kind of keep invested while we're waiting for private opportunities. Obviously, this is not the kind of market to sell a liquid name. So we're generally comfortable with the credit quality, but probably more likely to hold on to some of those names just kind of given the environment right now. Then lastly, the harvest one again, I think going into it, we knew this would be probably the longest on a relative basis in terms of refinancing. It's still -- We're still out of 40% of it in a relatively short period of time. There's, a couple more deals that we've been working on with the companies on kind of refinancings and exits that we think over the next quarter or two should come to fruition. So we're pretty hopeful that another kind of decent chunk of that will be taken out in the next call in six months, if you will. But I would say, in general, we're pretty comfortable where we are in terms of the rotation. We don't have any particularly large portfolio names within there that we kind of would really want to really be pressing the exit button on, again, say, for a couple of that. I just referenced in harvest that we're expecting over the next call in six months.
Steven Martin: The mark-to-market you talked about, and that's great that most of the mark-to-market is sort of pricing related and not fundamental related. If you look at the mark-to-market in Portman or BC source deals versus sort of old deals on this page? How would you think about it?
Ted Goldthorpe: Yes. I don't - candidly, I don't think there's any massive difference between them. I would say for the - I think the way I'd characterize this is for the legacy portfolio, legacy portfolios, if you will, there's probably a little bit more variance in the sense of there were some names in there that had more impact from COVID that have been coming back some more positives and perhaps a couple of negatives as well that kind of offset each other. So that kind of really leaves you with just true mark-to-market across all the books. Again, we mark everything in the exact same way. So a change in the benchmark rates is going to have an equal impact on an old gas name as it is on a BC name. So I generally say like from the credit things, generally offset each other and we're probably are more impacted in those portfolios. But overall, just mark-to-market is pretty consistent across the books.
Patrick Schafer: Yes, like if you look at credit marks, they're basically - there's puts and takes, but it's basically 100% of our mark-to-market volatility this quarter is from spread widening. Like if you back out the puts and takes on credit, it's - all of this is just mark-to-market.
Steven Martin: Yes. I'll just add, by the way, that having listened to a number of BDC calls over the last week and obviously, more to go. There are some of the companies I don't understand how their mark-to-markets aren't bigger. And so from - to my knowledgeable perspective, it seems like you're being relatively conservative compared to some of the others I've listened to. You didn't buy back any stock this quarter. Was that just because the market was a little turbulent and you wanted to preserve opportunity?
Ted Goldthorpe: Yes, I mean I think the answer to that is no. We've always said that any time we're able to buy back stock, we'll buy back stock. I think we've got a path to rinsing our buyback program in a relatively short period of time, and it's a big priority for us to be buying back stock. I mean, given where our stock trades, it makes total sense for our shareholders for us to be buyback stock. So any time we can buy stock, we do. We weren't able to buy stock this past quarter, but we feel like there's a path to being able to buy back stock relatively soon.
Steven Martin: Okay, thanks a lot.
Ted Goldthorpe: Thanks.
Operator: [Operator Instructions] There are no further questions at this time. I'd now like to turn the call back over to management for final remarks.
Ted Goldthorpe: Thanks, everyone, for joining us today, and we look forward to speaking to you in early March when we were announcing our full year results, and I wish everybody a happy and very early Thanksgiving. Thank you.
Operator: This concludes today's conference call. We thank you for your participation. You may now disconnect.